Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's First Quarter of Fiscal 2024 Results. [Operator Instructions] Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And now I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the first quarter of fiscal 2024. On the call today from LifeVantage with prepared remarks are Steve Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, November 9, 2023. LifeVantage assumes no obligation to update any forward-looking projection that maybe made in today's release or call. Now I will turn the call over to Steve Fife, the President and Chief Executive Officer of LifeVantage.
Steve Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. Our latest results once again demonstrate the effectiveness of LV360 coupled with our robust innovation portfolio to drive growth and improve profitability across the entire LifeVantage organization from consultants to customers, from corporate employees, to Board members, energy levels remain incredibly high as our key initiatives continue gaining traction. We delivered a 6.5% revenue increase in the US, while overall revenues were down fractionally year-over-year on a constant currency basis. TrueScience Liquid Collagen continues to be the key driver as demand has remained very strong. This product was introduced in the US in June 2022 and only recently began launching in international markets, which should set the stage for growth in those markets as fiscal 2024 unfolds. Profitability also continues to show solid improvement with adjusted EBITDA increasing over 41% to $4 million in the first quarter and an adjusted EBITDA margin, up 230 basis points to 7.8%.approximately $12 million or 23.5% of Q1 revenue was attributable to Liquid Collagen plus the Healthy Glow Essential Stack which bundles Liquid Collagen with Protandim Nrf2 Synergizer. In the US, customer penetration was 28.1% versus 26.9% in Q4 fiscal 2023 and compared to 24% at the end of calendar 2022. Reorder rates provide another strong indicator of the health of the product and strong demand as second month reorders were up recently at 77.8% versus 77% at the end of Q4 2023. Liquid Collagen sales are still predominantly driven by activity in the US but we are seeing our recent expansion of Liquid Collagen into the international markets ramp up steadily. As you may recall, Liquid Collagen entered Australia, New Zealand and Japan in March of 2023, and the results to date have exceeded our internal expectations. At the end of September, we launched Liquid Collagen into Mexico, and we are commencing sales in the Philippines in November, followed by our Canadian launch in December of 2023.  In addition to expanding into new geographic markets, we continue to advance our innovation agenda by introducing new products that broaden our unique health and wellness offering. For example, in early October, we relaunched a new product, TrueScience, TrueRenew, Daily Firming Complex to all US consultants and those in attendance at our global convention. TrueRenew is a cleaner kinder cosmetic retinol alternative that has proven to tackle 11 visible signs of aging. It is a perfect complement to the inter activation power of Protandim Nrf2 Synergizer and TrueScience Liquid Collagen and ushers in a new era for the brand's TrueScience activated skincare line. The product prelaunch to all consultants in international markets on October 20 and then to all consumers globally on November 2.  We also announced further enhancements to LV360 in early October, including the new Fast Track Reset incentive that launched in all markets currently operating with the new Evolve compensation plan. This incentive invites all consultants to focus on the next 90 days with bonuses that are typically only available to new consultants. For markets not yet on the Evolve compensation plan, a similar rank advancement incentive was launched. Both TrueRenew and the Fast Track Reset Incentive and the rank Advancement incentives were announced October 6 and 7 at our Global Convention where over 2,000 consultants joined us in San Antonio, Texas. The theme for this event was all in, and it serves as not only a celebration for our LV360 transformation and the milestone achieved thus far. In addition to the TrueRenew and the product promotions surrounding that product launch, convention attendees also received first access to our new limited-time flavors of AXIO,  Green Apple and Orchard pair DCAS as well as the new TrueScience TruePout Advanced Lip Duo, which is an exfoliating lip scrub and high-grading lip oil packaged together in a great giftable set. These limited-time products also went live to consumers in the US on November 2.  At Global Convention, we also announced our next phases of LV360 and in Canada, Europe, and Mexico, which will be transitioning to our new Evolve compensation plan in early 2024, with our remaining markets transitioning by the end of our fiscal year 2024. Convention attendees also received new consultant training as well as recognition for their recent achievements. LifeVantage events serve as an excellent community builder and global convention was no different. Consultants were able to join together with their teams and plan for the coming months, while also celebrating each other's success. Consultants' feedback on the event was overwhelmingly positive, and the excitement for the future of LifeVantage was palpable. We are looking forward to our next events, which include our Virtual Global Kickoff 2024 in January and our in-person Momentum Academy in March in Nashville for our US market. During the first quarter, we also continued to execute against our capital allocation priorities, returning value to shareholders through dividends and stock buybacks. We paid a total of $5.5 million or $0.435 per share in cash dividends during the quarter, including a $0.40 special dividend and utilized approximately $800,000 to repurchase 145,000 shares. As many of you are aware, we held our fiscal year 2024 Annual Meeting of Stockholders on Monday, November 6th. Based on the preliminary results provided by the Independent Inspector of Elections, shareholders have reelected all seven LifeVantage incumbent Directors and approve all proposals, including the proposal to ratify the Stockholder Rights Plan. The Radoff-Sudbury Group has exercised its right to review and challenge the independent inspector's preliminary voting tabulation. We expect that process to take place over the coming days. We will report the preliminary results on a Form 8-K as required, and we will also disclose the final certified results once the review and challenge period has concluded. In the meantime, we would like to thank our shareholders for their constructive feedback, engagement, and attention to the annual meeting. We have learned from our dialogue with our shareholders and appreciate their continued support as we remain focused on executing our LV360 initiatives to drive sustainable, profitable growth and value creation. We do not intend to answer any questions on this topic during the call today. In summary, we are very pleased with the early progress on the key LV360 initiatives to drive consultant engagement and expect the positive trends to continue in the US, while broadening to international markets over the next several quarters. Strong demand for new products also continues to drive our optimism about the future as we build on the momentum of liquid collagen through expansion into new geographic areas and complementary offerings. Organizationally, we are firmly aligned with the future vision of LifeVantage and our strong balance sheet ensures we are well positioned to deliver significant growth and value to shareholders. Now, let me turn the call over to Carl Aure, our Chief Financial Officer, to review our first quarter financial results. Carl?
Carl Aure: Thank you, Steve, and good afternoon, everyone. Let me walk you through our first quarter financial results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. First quarter revenue was $51.4 million, down 0.8% on a year-over-year basis and was down 5.3% from the fourth quarter. Foreign currency fluctuations negatively impacted revenue by $0.3 million in the first quarter. Excluding the negative impact of foreign currency fluctuations, first quarter revenue was down slightly by $0.1 million or approximately 0.2%, as compared to the prior year period. Revenue in the Americas region increased 5.9% to $38.5 million in the quarter, including a 6.5% increase in the US as compared to the prior year period. This increase was primarily driven by a higher average revenue per account, resulting from the continued success of our Truescience Liquid Collagen product. Revenue in our Asia Pacific and Europe region decreased 16.6% to $12.9 million in the quarter, driven by a 17% decrease in total active accounts and the negative impact from foreign currency exchange rate fluctuations. Excluding the negative impact from foreign currency fluctuations, first quarter revenue in our Asia Pacific and Europe region was down 14.6% as compared to the prior year period. The foreign currency impact continues to be driven by fluctuations in Japan, accounting for $0.3 million of the impact. Adjusting for this impact, revenue in Japan declined 4% on a constant currency basis. Gross margin was 80.2% for the first quarter compared to 80.8% in the prior year period. The decrease in gross margin was primarily due to shifts in product sales mix, increased raw material and manufacturing-related costs and higher shipping expenses and warehouse fulfillment expenses during the quarter. Commissions and incentive expense in the first quarter decreased $1.3 million year-over-year. As a percentage of revenue, commissions and incentive expense decreased 220 basis points to 43.8% and versus year ago levels, which was primarily driven by changes in sales mix as well as the timing and magnitude of promotional and incentive programs. Non-GAAP adjusted SG&A expense was $16.6 million, which was consistent with the prior year quarter and was up 30 basis points as a percentage of revenue to 32.4%. Adjusted non-GAAP operating income was $2.1 million, compared with $1.4 million in the prior year period. Adjusted non-GAAP net income was $1.7 million or $0.13 per fully diluted share in the first quarter, compared to adjusted net income of $0.7 million or $0.06 per fully diluted share in the comparable period last year. We recorded tax expense of $0.2 million in the first quarter of 2024 and 2023, respectively. For the first quarter, our effective tax rate was 24.1%. Adjusted EBITDA for the first quarter was $4 million or 7.8% of revenues, compared to $2.8 million and 5.5% in the same period a year ago. Please note, that all of the adjustments from GAAP to non-GAAP that I discuss today are reconciled in our earnings press release issued this afternoon. We ended the first quarter in a strong financial position with $18.4 million of cash and no debt. We also continue to maintain $5 million of availability under our revolving line of credit. Capital expenditures totaled $1.1 million in the first quarter. We anticipate total capital expenditures for fiscal 2024 to be approximately $2.5 million. We will continue to focus on our capital allocation strategy in order to maximize shareholder value. During the first quarter, we used approximately $800,000 in cash to repurchase approximately 145,000 common shares under our share repurchase authorization. As of September 30, 2023, there was $26.1 million remaining under our stock repurchase authorization. We also announced a quarterly cash dividend of $0.035 per share of common stock or approximately $400,000 in the aggregate. This dividend will be paid on December 15, 2023, to shareholders of record on December 1. Turning to our fiscal 2024 outlook. We continue to anticipate our fiscal 2024 revenue will be in the range of $216 million to $226 million, adjusted non-GAAP EBITDA in the range of $16 million to $18 million with adjusted non-GAAP earnings per share in the range of $0.52 to $0.62 per share. For fiscal 2024, we expect our annual effective tax rate to be approximately 22% to 25%. Included in our fiscal 2024 guidance is over $2 million of non-recurring expenses related to an expiring sponsorship agreement and costs associated with the rollout of LV360 to our remaining mark, which will not be incurred in future years. We remain committed to improving our adjusted EBITDA margins and we believe we are on track to reach our long-term target of low double digits. And with that, let me turn the call back to the operator for Q&A.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Doug Lane from Water Tower Research. Please proceed with your question.
Doug Lane: Yes. Thank you, and good afternoon, everybody. See, there's a lot of moving parts here. And I think the one that stands out to me is how successful and how quickly you've been successful in the U.S. with all these rollouts earlier in the year with the new comp plan and the new marketing program. Can you give us a sense for where the U.S. is vis-à-vis expectations six or nine months ago? And then how long do you think it will take to attain similar success in your international markets, which are still struggling a little bit?
Steve Fife: Yes. Thanks, Doug. Good question. We are extremely pleased with just how quickly the U.S. market has adapted and adopted the evolved compensation plan. And I attribute it to a couple of things. One, just how solid the plan is itself. And when we set out to redesign a best-in-industry plan, we wanted to have a plan that would be appealing to individuals who were looking on to sell product and to earn income comparable to what social sellers or influencers can do, what part time people that are really looking for just a side hustle by selling products can do. But also a plan that continue to build on individuals that want to build an organization and have kind of long-term stability and are really entrepreneurs  interested in building a long-term business. And I think we've achieved that with this plan. And I think the adoption in the US is indicative of that. I think we did a phenomenal job with individuals, both the employees and our consultant leadership group in terms of the rollout and the communication of the plan. And so we were very clear with expectations and how they could optimize the plan. Going on to now our second and third launches in the remaining markets that we have, I'm even more optimistic because people in these countries, let's just say, the Philippines as an example or Canada, they've been able to witness and see the benefits that have come to the plan in the US market. And many of the top leaders in the US also have organizations in those international markets. And so I think we have a jump start, if you will. We've also been putting in place promotions in those markets that have been running and will continue to run that will help kind of mimic some of the behavioral changes that will come through the comp plan changes in those markets. So people are already starting to build and see the benefit of some of those changes of the experience. So I -- we remain very optimistic that the adoption and benefits that we are seeing in the US will be accelerated in our international markets as we roll this out.
Doug Lane: Okay. And talking about Evolve specifically, it's an iterative process, right? I mean it takes a while to have it fully implemented in any given market, and then it's not been rolled out to all your markets yet. So you can just basically give us an idea of what inning do you think the Evolve implementation is in? And how long do you expect before it's fully implemented globally?
Steve Fife: Yes. So we launched Evolve in the US, Japan, Australia and New Zealand in March -- on March 1 of this year. And we had a six-month transition plan in place for all of our consultants during that subsequent six months. So we are officially out of transition and in the full plan adoption and utilization of the plan in those four markets. And so now it's -- and that transition period really is to give those leaders time to adjust to the nuances of the new plan. Many of our leaders have been around for five, 10 years and built their business in a certain way and we wanted to allow them to have time to kind of retool their messaging to optimize this new plan. Our Phase 2 markets, which are Canada, Mexico and Europe, will launch in February of next year. And then all of the remaining markets in Asia will launch towards the end of our fiscal year. So by the end of our fiscal year, all of the countries that we currently operate on will be operating under the new Evolve plan. Some of them will still be in kind of a transitional period. But I think it's safe to say if you pass forward a year from now, it will be fully implemented and in full plan operations. So we'll be through transitions in all of the countries a year from now.
Doug Lane: Okay. Great. That's helpful. And then I think you mentioned in your comments that liquid collagen is up to a 28.1% penetration rate, and that goes up quarter after quarter here. Where do you think that can ultimately get to when you would consider it to be fully penetrated?
Steve Fife: Yes. I mean -- and not to skip over that too quickly, but the 28% penetration rate is really high. So we're pleased with that. I think it's 30%, 35% is a very realistic -- it's -- it's our target to where we think that, that can come as again, it's launching in additional countries now. A few months ago, we announced a new study that we have that articulates the benefits of our liquid collagen when taken with our Protandim Nrf2 synergizers -- and that again has -- gave a boost to us and especially in this stack or a pack that we call it our healthy Glow stack, which combines those two products together. So we think that there's still legs to grow on the penetration front both as people get more and more used to it as well as our launch into new countries with it.
Doug Lane: Okay. That's helpful in putting some perspective on that number. And just one more for me. And that is, Carl, I noticed that commissions and incentives were down as a percent of sales. Is this onetime in the quarter? Or is there going to be a step function down from the new comp plan going in?
Carl Aure: Yes, that's a good question, Doug. As we -- one of the big pieces to that in the quarter is with respect to promotional spend. One of the things that we had and if you look prior to the implementation of Evolve is that we had much higher promotional related spend. And in particular, in the comparable quarter last year, we had a specific promotion running around collagen to help boost the success of collagen. And so that number really is heavily influenced by the level of promotional activities that we have during the course of the quarter. And then the other thing that's impacting just that as a percentage of revenue is we have some higher non-commissionable revenue in the quarter related to shipping related changes and some of the other price increases that we've taken are influencing that percentage. So overall, the base comp isn't significantly different, but it's really the timing and the overall sales mix that is influencing that percentage this quarter.
Doug Lane: Got it. All right. Thank you.
Steve Fife: All right. Thanks, Doug.
Carl Aure: Thanks, Doug.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to Steve Fife for closing remarks.
Steve Fife: Thanks, operator, and thank you for joining us today. To conclude, I would like to express my gratitude to the dedicated employees, exceptional independent consultants, shareholders and loyal customers. Our recent results underscore the strength of our platform and the competitive edge of our business model in enabling individuals to establish their businesses on their own terms. With our steadfast leadership team, an array of distinctive products and actively engaged consultant community and a robust financial position. We are primed to achieve substantial growth enhance profitability and create substantial value for our shareholders. Thank you.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.